Operator: Good day, ladies and gentlemen, and welcome to American Financial Group 2015 Third Quarter Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer period and instructions will be given at that time. [Operator Instructions] And as a reminder, this call is being recorded. I would now like to turn the conference over to your host for today, Ms. Diane Weidner, Assistant Vice President, Investor Relations. Ma'am, you may begin.
Diane Weidner: Thank you. Good morning and welcome to American Financial Group’s third quarter 2015 earnings results conference call. I’m joined this morning by Carl Lindner III and Craig Lindner, Co-CEOs of American Financial Group; and Jeff Consolino, AFG’s Chief Financial Officer. If you are viewing the webcast from our website, you can follow along with the slide presentation if you’d like. Certain statements made during this call are not historical facts and maybe considered forward-looking statements and are based on estimates, assumptions and projections, which management believes are reasonable, but by their nature subject to risks and uncertainties. The factors which could cause actual results and/or financial condition to differ materially from those suggested by such forward-looking statements include, but are not limited to, those discussed or identified from time-to-time in AFG’s filings with the Securities and Exchange Commission, including the Annual Report on Form 10-K and quarterly reports on Form 10-Q. We do not promise to update such forward-looking statements to reflect actual results or changes in assumptions or other factors that could affect these statements. Core net operating earnings is a non-GAAP financial measure, which sets aside significant items that are generally not considered to be part of ongoing operations, such as net realized gains and losses, discontinued operations and certain non-recurring items. AFG believes this non-GAAP measure is a useful tool for analysts and investors in analyzing ongoing operating trends and will be discussed for various periods during this call. A reconciliation of net earnings attributable to shareholders to core net operating earnings is included in our earnings release. If you are reading a transcript of this call, please note that it may not be authorized or reviewed for accuracy, thus it may contain factual or transcription errors that could materially alter the intent or meaning of our statements. Now, I’m pleased to turn the call over to Carl Lindner III to discuss our results.
Carl Lindner III: Good morning. We released our 2015 third quarter results yesterday afternoon and I am assuming that our participants have reviewed our earnings release and the investor supplement posted on our website. We are pleased with AFG's strong core net operating earnings, record third quarter premiums achieved in our annuity segment and healthy growth in our Property and Casualty operations. Core net operating earnings were $1.38 per share, a decrease of $0.02 per from the comparable prior year period. These results reflect higher underwriting profit and higher net investment income in our Specialty, Property and Casualty insurance operations which was more than offset by the impact that fair value accounting had on the results of our annuity segment. Annualized core operating return on equity was 11.6% for the 2015 third quarter compared to 12.3% for the third quarter of 2014. Net earnings per diluted share were $0.71 share and included a $0.58 per share for A&E reserve strengthening and $0.09 per share related to realized losses and a loss on the early retirement of debt. During the quarter we repurchased $35 million of AFG's common shares at an average price per share of $68.56. We also announced the special dividend of $1 per share payable in December. Returning capital to shareholders is an important component of our capital management strategy and reflects our strong financial position and our confidence in AFG's financial future. We increased AFG's 2015 core operating earnings guidance to $5.30 to $5.60 per share which is up from the range of $5.25 to $5.55 per share estimated previously. Craig and I will discuss our guidance for each segment of our business later in this call. Last week we formally celebrated the opening of Great Americans newest Property and Casualty branch office in Singapore. Particular our focus areas include marine, general liability, and professional and executive liability. Entry into of the Singapore enabled us to expand our international footprint in the Southeast Asia. We have a respected experienced team in place and look forward to the profitable growth of our newest international business. Now let's take a closer look at AFG's results this quarter. If you would turn to Slide 4 and 5 with the webcast which include an overview of results in our Specialty, Property and Casualty operations. Beginning on Slide 4, you will see the gross in net return premiums were both of 6% in 2015 third quarter compare to the same quarter a year earlier. Although the market place has become more competitive we're still finding opportunities to grow our Specialty, Property and Casualty businesses. Underwriting profit was up 20% year-over-year reflecting strong performance by the vast majority of our 31 businesses that comprised our Specialty, Property and Casualty group. Third quarter 2015 combined ratio of 92.9 improved by nearly a point from the comparable prior year quarter and included 1.2 points of favorable prior year reserve development and 0.9 points in catastrophe losses. Overall Specialty Property and Casualty group pricing was flat and was impacted by price softening in our workers comp businesses. We continue to focus on price adequacy, however achieved increases in over 40% of our Property and Casualty businesses during the third quarter, plus notably in our property and transportation group. With that, I’d like to turn to Slide 5 to review a few highlights from each of our Specialty Property and Casualty business groups. Our Property and Transportation group reported a year-over-year improvement in underwriting results in the third quarter as well as sequential improvement from the second quarter of 2015. Higher profits in our Agricultural and Transportation businesses were partially offset by lower underwriting profitability in our property and in the marine and ocean marine businesses. Catastrophe losses for those group were $7 million in the third quarter of ’15 increasing from $1 million in the third quarter of 2014. The increases in gross and net written premiums in this group were due primarily to the growth in our transportation businesses as a result of new accounts and organic growth and several product lines, as well as higher premiums in our ag businesses. It shaping up to be a good crop year with solid profitability accepted in our crop insurance business. Corn and soybean crops finished strong as August and September growing conditions were ideal. Crops were able to reach maturity ahead of a major frost event. Early harvest yields are coming in better than expected with many states particularly those in the western corn belt projecting yields were above trend. Concern areas the portions of Illinois, Indiana and Ohio due to variable yields resulting from early season excessive rainfall. We’re pleased that the corn and soybean October harvest price discovery period close with corn and soybean harvest prices about 8% below spring discovery prices. In property and transportation, we continue to focus on adequate pricing. Overall renewal rates for this group increased 4% on average for the quarter with our national interstate subsidiary achieving of 5% rate increase. I am pleased with the underwriting profitability reported by our Specialty and Casualty group during the quarter. Nearly all the businesses in this group achieved strong underwriting margins, I am pleased, especially pleased with the profitability within our workers compensation businesses which help to offset underwriting losses in our international operations. Next week Martin Reith will be joining us as the CEO designate of Marketform which operate syndicate 2468 at Lloyd’s of London. The success in building and leading insurance operations in Lloyd’s market is consistent with the core Great American Instruments group tradition of specialty focus and consistent profitability. Our leadership team will be working closely with Martin to get this business back on track. The majority of businesses in the Specialty and Casualty group reported growth particularly our excess and surplus businesses, this growth was partially offset by lower premiums in our general liability business primarily the result of competitive market conditions the underwriting efforts within our Florida homebuilders business and the slowdown within the energy sector. Pricing in this group was down about 2%. Our workers compensation businesses reported a pricing decline of about 6% on average for the quarter, due primarily to lower renewal pricing in Florida. Excluding workers compensation pricing in this group was up about 1% on average for the quarter. Our Specialty Financial group reported excellent profitability this quarter with a specialty strong results in our financial institutions business. Every business in this group achieved excellent underwriting margins during the quarter producing at overall calendar year combine of 81%. Growth and higher retentions in our financial institutions business for the primary factors driving a double-digit increase in net written premiums in this group during the quarter. Renewal pricing in this group was flat for the third quarter. Now please turn to Slide 6 for some review of our 2015 outlook for the Specialty Property and Casualty operations. We now estimate the growth in net written premiums will be in the range of 6% to 8% which is narrowed a bit from the range of 4% to 8% previous last year estimated. Our combine ratio guidance is unchanged and is expected to be between 92% and 94%. We’ve increased our guidance for net written premiums in our property and transportation group. We now expect growth of 3% to 6%, an increase from our previous expectations that premiums will be down 1% to up 2%. This changing guidance is primary the result of higher than expected premiums in our transportation businesses. Our guidance for combined ratio remains 96 to 99 in this group. The premium guidance for Specialty and Casualty group was narrowed a bit. We now expect growth in a range of 9% to 12% changed from our previous range of 8% to 12%. Our combined ratio guidance for this group continues to be in a range of 91 to 94. We've increased our estimate for growth in net written premiums in our specialty financial group to be in the range 7% to 10% which is an increase from the growth of 3% to 7% estimated previously. And the outlook for the combined ratio for this group has improved to a range of 80% to 83% a 1 point improvement over our previous estimates of 81% to 84%. These changes based on the group strong results through the first nine months of the year. Additionally we now expect our property and casualty investment income to grow by 10% an increase from growth of 8% estimated previously. On the pricing front we now expect overall property and casualty renewal pricing to be flat to up 1%. I will now turn the discussion over to Craig to review the results in our annuity segment and AFG’s investment performance.
Craig Lindner: Thank you, Carl. I will start with a view of our annuity outlook for the remainder of 2015. As you will see slide 7, we're increasing our guidance for annuity earnings before the impact of fair value accounting by $5 million to a range of $345 billion to $355 million. Higher than previously expected net interest spreads is the primary factor driving the increase at our estimates. Based on where interest rates and the stock market are today, we now expect the full year 2015 core pretax annuity operating earnings as reported will be $325 billion to $335 million, a decrease of $5 million from our previous estimate. As we saw on the third quarter significant changes in the stock market and/or interest rates as compared to our expectations can lead to a significant positive or negative impact on the annuity segment results due to the impact of fair value accounting. You will also see on Slide 7 that based on a recent sales trend we've increased our premium guidance and now estimate the full-year 2015 annuity premiums will be in the range of $3.8 billion to $3.95 billion an increase from the $3.7 billion achieved in 2014. Significant changes in interest rates and/or the stock market from our expectations could lead to additional positive or negative impacts on the annuity segment results. These earnings expectations do not reflect any potential earnings impact from our annual unlocking fourth quarter review of the major actuarial assumptions and our fixed annuity business. Since our net interest rates are higher than previously projected, we currently believe that the unlocking will likely have a positive impact on earnings. The fundamentals of our annuity business remain very strong despite the lower-than-expected reported earnings after fair value accounting. Taking a look at results the third quarter, you will see on Slide 8 that core pretax annuity operating earnings before fair value accounting were $89 million or 2% higher than the prior year period. AFG's 2015 earnings continue to benefit from growth in annuity assets as well as the ability to maintain net interest spreads year-over-year. AFG's quarterly average annuity investments and reserves grew by approximately 13% year-over-year. The benefit of this growth was partially offset by the impact of the significant decrease in the stock market in the third quarter had on certain AFG annuity reserves. Variances from expectations of certain items such as projected interest rates, option costs and surrenders as well as changes in the stock market have an impact on accounting for indexed annuities. These accounting adjustments are recognized through AFG's reported quarter earnings. Many of these adjustments are not economic in nature but rather impact the timing of reported results. In the third quarter of 2015, the significant stock market decrease resulted in a large unfavorable impact on annuity earnings because of the impact of fair value accounting on fixed indexed annuities. In addition, interest rates decreased during the quarter compared to the expectation that they would rise. This also had a negative impact on the annuity segments core pretax operating earnings. In the third quarter 2014, changes in the stock market and interest rates were much for moderate resulting in a minor impact on annuity earnings. I was very pleased with the annuity segments record third-quarter annuity premiums of $1.32 billion, a 63% increase from the comparable prior year. During the second quarter 2015 interest rates rose significantly from the first quarter 2015 lows, allowing AFG to raise the credit rates on its annuities and to become much more competitive on the markets. This is in contrast to 2014 when interest rates generally decreased throughout the year resulting in AFG lowering its credit rates in order to maintain appropriate returns on sales. A summary of the components of spreads for AFG’s fixed annuity operations can be found on slide 9. Additional information can also be found in AFG’s Quarterly Investor Supplement posted on our website. In April, we announced a definitive agreement to sell our run-off long-term care insurance business to HC2 Holdings. Included in the sale are United Teacher’s Associates Insurance Company and Continental General Insurance Company, the legal entities that contained AFG’s long-term care insurance business. This transaction will result in the disposition of substantially all of AFG’s long-term care business. The transaction is expected to close prior to end year subject to customary conditions including receipt of required regulatory approvals. Now please turn to slide 10 for a few highlights regarding our $38 billion investment portfolio. AFG recorded third quarter 2015 net realized losses of $6 million after tax and after deferred acquisition costs compared to net realized gains of $8 million in the comparable prior year period. As of September 30, 2015 unrealized gains on fixed maturities were $445 million after tax, after DAC and unrealized gains on equities were $44 million after tax. As you will see on slide 11 our portfolio continues to be very high quality with 88% of our fixed maturity portfolio rated investment grade and 98% with an NAIC designation of one or two it’s two highest categories. We provided additional detailed information under various segments of our investment portfolio in the Quarterly Investor Supplement. I will now turn the discussion over to Jeff who will wrap up our comments with an overview of our consolidated third quarter 2015 results and share comments about capital and liquidity.
Jeff Consolino: Thank you Craig. Slide 12 recaps AFG’s third quarter consolidated results by segment. Core net operating earnings per share in the quarter were $1.38 down $0.02 from Q3 2014’s record $1.40. The impact of fair value accounting that Craig described reduced AFG’s core net operating EPS by $0.16 in the 2015 third quarter. As we stated before, we do not believe the fair value accounting presents an accurate depiction of the results of operations for our annuity segment. Some in our industry too is excluded from core operating EPS, we have not. That $1.38 is based on core net operating earnings in the quarter of a $123 million. You will be able to see a more detailed view of these components on page 4 of our Quarterly Investor Supplement. P&C core pre-tax operating earnings improved by $23 million year-over-year due to P&C underwriting process improving by $12 million and increase in P&C net investment income of $7 million and P&C other expenses decreasing by $4 million. As for the other components of AFG’s core net operating earnings. Craig previously covered our annuity segment earnings which were $19 million year-over-year result of the impact of fair value accounting for fixed index annuities. Results in our run-off long-term care and life segment improved by $5 million. Interest expense of parent holding increased $1 million due primarily to our 6.25% hybrid debt offering in September 2014. Other expense was $6 million higher than what was reported in 2014 third quarter. Last year’s quarter was not indicative of a run rate for this line item. Turning to slide 13, you will see a reconciliation of core net operating earnings to net earnings and diluted earnings per share. In addition to realized investment losses and a loss on the redemption of AFG’s 7% senior notes, net earnings in the quarter were reduced by an A&E reserve strengthening of $52 million after tax or $0.58 per share. The components of our special A&E charge are further outlined at the bottom of the slide 13. AM Best released its Annual Asbestos and Environmental Special Report on October 27th. That report shows an industry three year adjusted survival ratio of 8.2 times paid losses as of year end 2014. The adjusted three year survival ratio for AFG’s P&C insurance subsidiary now stands at 11.5 times paid losses. As indicated on slide 14, AFG’s adjusted book value per share was $49.01 as of September 30, 2015. This is a decrease of $0.62 during the third quarter. The biggest piece of this decrease was a decrease of $86 million in unrealized gains and acuity securities during the third quarter of 2015 which resulted in a decrease of $0.98 per share, adjusted book value per share, tangible book value per share was $46.12 at September 30, 2015. Our excess capital stood at approximately $700 million at September 30th. In the quarter we chose to increase our capital allocated to common stocks but we increased our common stock to fair value by approximately 25%. For the S&P decreased by approximately 7% in Q3 2015, I would notice through the beginning of November, the S&P has risen order to date by over 9%. So I would expect it much of the stock market impact on capital will have reversed subsequent to quarter end. The pending sale of our run-off long-term care insurance business is expected to generate approximately $110 million in excess capital. We returned $57 million to our shareholders through dividend and share repurchases during the quarter. Approximately 3.2 million shares remain under our repurchase authorization. We plan to continue returning excess capital to our shareholders through the course and remainder of 201, notably through the December special dividend of $1 per share announced in the press release, plus subject to market conditions continue to share repurchase. Closing with Slide 15, you can see a single page summary of our 2015 core earnings guidance. We have upped AFG’s 2015 core operating earnings guidance at each end of the range by $0.05, the $5.30 to $5.60 per share. As a reminder AFG is expected 2015 core operating results include non-core items such as realized investment gain from the losses and other significant items that may not be indicative of ongoing operations. Now we’d like to open the lines for any questions.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Christopher Martin of Macquarie. Your line is open. Please go ahead.
Christopher Martin: Hi guys. Congrats on the underlying results this quarter in the annuity premium growth. So I have two questions related to crop insurance; the first is regarding the proposed 3 billion budget cuts the program. How you think this might impact the industry anything that this could drive some more consolidation on the smaller players?
Carl Lindner: Yes, I don’t think -- the bill is drafted hidden good news for their crop industry and definitely would probably have an impact on greater consolidation my mind. I think right now though there is a suppose deal for it to be revised in the upcoming omnibus spending bill and that seems to be a positive. But we’ll continue to monitor that closely and see what happens in that. I think that’s a positive right now.
Christopher Martin: Thanks. And then sort of saying on the crop, with the strong El Niño we’ve seen typically that leads to the favorable growing conditions. Do you have early out looking what you’d expect 2016 to look like in both premiums and commodity pricing?
Carl Lindner: We generally do guidance a little bit later once we kind of have a little bit better feel on things. I think one question I’ve been getting is about El Niño, the generally the current predictions are for strong El Niño event to influence weather patterns is winner. Generally for the crop industry that’s a positive event to the extent that there is weather than average conditions particularly in California or in some of the southern tier states which actually could bring drought relief to those regions. So El Niño our initial take is that that could be positive, that’s something that is talked a lot about right now. I think you can get a little bit of flavor if crop prices, the discovery prices are down 8% usually in the spring discovery prices that establish premium levels for next year. Generally when you look at the futures that tie to more of the spring time period in that generally they are not down quite as much. So, I think that there should be a fairly stable. My initial thoughts will be kind of a stable outlook on premiums for next year but it all depends on what those spring discovery prices are and that's until, until that you were able to measure that in this spring it's kind of thought to prognosticate.
Operator: Thank you. Our next question comes from the line of Paul Newsome of Sandler O'Neill. Your line is open, please go ahead.
Paul Newsome: I wanted to apologize I had to jump off the call briefly so tell me if I am being redundant, but perhaps a little bit more on the expenses charge, it seems a little bit larger than I think we've seen in the past. Why that might that be and are we getting -- at what point do you think we get to the point where we those expenses charge pretty small?
Jeff Consolino: It's Jeff Consolino. Thanks to your question. I guess in terms of your statement that these asbestos and environmental special charge is bigger than before what you've seen just in terms of history, we typically work with a internationally recognized independent actuarial firm on a two-year rotating basis for the last time we had that outside firm in was 2013. The charge we took this quarter of $79 million pretax is comparable to the $76 million of the 2013. So I guess I would challenge the assumption this is without precedent or unusual and it relates to the overall asbestos and environmental environment. I do think that best report issued at the end of October is fairly illustrative of what the industry is seeing. And we would say for our PMC business, the analysis was driven by slightly higher than expected indemnity in defense costs and as the industry exposure to asbestos of mature the focus of litigation is radiated out smaller companies and companies with ancillary asbestos exposures. In short, these exposures have been a driver of our reserve increases in prior periods. As for environmental, we look at the environmental peace primarily attributable to increase defense cost and a small number of claims where the cost of remediation have increased. I hope that gives you good sense as to what sitting inside that number but I guess I'll leave to you to follow up if you have any further questions.
Paul Newsome: No that's great and I have a separate life insurance in term of that life insurance question. It's hopefully a fairly straightforward question. So I think it affects annuity business as being pretty straightforward, you basically make the vast majority of what you make is interest rates spread on asset side management and I am looking at Slide 8 and one of the things I notice is that the average fixed annuity assets are 13% and the interest rates spread is also improved which both fantastic, but the core operating earnings was up only 2%, what would be the other factors that make that core not go up say at least in line with the average fixed annuity investments?
Craig Lindner: Hi, this is Craig. The answer to that is the impact of the stock market decline on non-fair value items specifically wider reserves. The decline in the stock market resulted in us meeting to put up more reserves against the riders and that is what accounts for that difference.
Operator: Thank you. Our next question comes from line of Ryan Byrnes of Janney Montgomery. Your line is open. Please go ahead.
Ryan Byrnes: Just had a question obviously the big hire out in London, are there any initial changes I guess strategy changes for market form that we should know about, and maybe try to figure out how much of the use of excess capital that could be going forward?
Jeff Consolino: Good morning, Ryan, it's Jeff Consolino and already I am going to reverse myself and good afternoon. We're excited as Carl said about the hire of Martin Reith, our London market form operation. Martin's track record speaks for itself and we think it's a kind of a leader that's consistent with the kind of leadership we have in our domestic U.S. business. And Martin now has not yet started in market form and so I think it's premature and would be getting out ahead of him to talk about any changes that may transpire. So why don't we part that keep track of it as his tenure starts to get underway and likewise I think I wouldn't want to talk about our capital commitment and use of capital until we are on the down the road in that change.
Ryan Byrnes: Got you. You are saying you won’t put any pressure on quite yet I understand that. And then moving on to the workers’ comp market. I saw the Florida, State of Florida is looking to put through 5% rate deduction -- rate reductions heading into next year. Just wanted to get your thoughts on that and where the underlying margin of that business are going. I know that you guys have gotten a lot of deeper with data and analytics which are kind of softening that pressure. But just wanted to get your thoughts there.
Unidentified Company Representative: Naturally we were disappointed that the commissioner chose a number higher than what the NCCI was choosing in that. Our results continue -- to-date we have good results, meets our expectations. I think what the -- it’s kind of the rate decline probably will help us -- we will need to be more selective in our underwriting and tighten up our analytics model such that we can maintain margins there, particularly in Florida. So I think the -- when we look through the lens of our predicted analytics model in that, that 5% rate reduction may work out to be more like 1% or 2% based off of our mix of business, our specific mix of business would be our initial take in that. But if we have to tighten things, we will do that in order to meet the margins.
Ryan Byrnes: Okay, great. Thanks. Good color guys.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Jay Cohen of Bank of America. Please go ahead.
Jay Cohen: Yes, thank you. A couple of questions. First, in the property and transportation business you highlighted some I guess loss pressure, loss activity and in property and then the marine lines. I am wondering were there unusual events, unusual, the large events that led to that?
Unidentified Company Representative: Jay I wouldn’t say any large event, certainly nothing that would, it can’t like.
Jay Cohen: Okay, just underlying pressure from pricing/claim standpoint?
Unidentified Company Representative: Again I think you have to look at the diversity of those businesses Jay and I point you to a couple of things, since I am not satisfied with the short answer. You can see in the supplement, you can see in the press release that cat losses year-over-year were higher so but step that aside because we carved that out separately. In terms of the underlying loss ratio, I would say a couple of things. I was going to try to refer to a schedule here quickly if you don’t mind. I show our loss and loss adjustment ratio for the quarter for property and transportation excluding cat and excluding prior development, 74.6 a year ago that was 81.4. We had a more favorable crop order given the comments that Carl made. And so we had a greater level of profitability and a lower loss ratio in crop. Likewise, a year ago we talked about the pressures in transportation in both in national inter-state and in our own individual owner operator business for Great American and we have seen improvement in both of those. Agri business and ag line also have improved. And so when you take those all out you can see that the improvement is really driven with all of those levels. So higher level of cats offset by improving results trucking national inter-state and agri business, that’s really what’s moving the loss ratio on the accident year cut basis for that sub segment.
Jay Cohen: Yes, I was looking at that same ratio but I was looking at a relative to the first half of the year where that ratio was in the 60s seem like a pop-up, I know there’s a seasonality here but if there was just any loss activity but that’s fine.
Unidentified Company Representative: Okay, thanks Jay.
Jay Cohen: Secondly, market form. What’s the underlying issue that needs to be resolved, obviously you are not happy with the performance, what’s the problem in that business?
Unidentified Company Representative: I think we’ve had a -- we've not had leadership [root] that’s properly selected and priced the business, and a decent number of the businesses. We have some great teams that have produced very profitable results but we continue to be disappointed for our standards that we’ve had the right leadership and the right team to get the job done. That’s why we made the leadership change and why we went out of our way to get somebody that had the best track record there. We’re not messing around. We want to -- we want market form to be a very profitable venture for us. One of the few disappointments when you look across our 31 different specialty businesses.
Jay Cohen: Great. So basic underwriting blocking and tackling need someone right for that job then?
Carl Lindner: Exactly.
Operator: Thank you. Our next question comes from the line of Greg Peters of Raymond James. Your line is open. Please go ahead.
Greg Peters: Good afternoon. Thank you for hosting the call and taking our questions. Couple of areas to touch on in the annuity segment, can you provide some additional color behind the fair value accounting adjustment and considering the market movement since the end of the third quarter, is it possible that there could be a positive adjustment going into the fourth quarter?
Craig Lindner: Greg, this is Craig. Let me give you a little more color on that what impacted us in the third quarter. The two largest drivers of the $22 million fair value accounting that we took were the decline in the stock market and interest rate stood ended the quarter a bit lower than we had expected. Obviously we’ve had a very significant recovery in the stock market so far in the fourth quarter, interest rates have moved up. If you look at the guidance that we put into the news release that we issued last night you’ll see that we’re steering to -- if you look at the midpoint of the guidance on operating earnings, we’re steering to a $100 million operating number that compares to $67 million that we just reported in the third quarter. And that does include a nice recovery in the stock market. Our assumptions related to interest rates in the stock market that go into that guidance are that -- and the fourth quarter, the stock market would increase by 8%. And I think as of this moment it's up a little bit more than 8% and it assumes that rates would trend up in the quarter, it assumes is an example that the 10 year corporate [A2] rate would be at a 369 which is about where it is today. So it assumes an 8% increase in the stock market or assumes interest rate stay around where they are today and if that happens we recover in the guidance we assume that we were going to recover, they are going to have a positive impact from fair value accounting of approximately $8 million and that’s what is included in our guidance for our operating earnings number in the fourth quarter of $100 million.
Greg Peters: Thank you for the color Craig. If you could add or if I look at what looks like you're going to be able to achieve in terms of operating earnings within the annuity segment for 2015. How do you think about is the written on allocated capital that you expect to get this year relative to your long-term objectives?
Craig Lindner: I mean the return that we’re projecting after the negative impact of fair value accounting which frankly we’re not a big fan of, but including fair value accounting. The return of this year is projected to be between 11% and 12%, not including realized gains on stocks.
Greg Peters: And is that consistent with your long-term objective?
Craig Lindner: What we’ve seen certainly over the last four or five years is an uptrend in the returns in the annuity business. we have been bogged down by a block of higher GMIR business. The new business that we’re putting on the books has a return that we find to be very attractive, it still impacted by some of the older business. It has 3% and 4% GMIRs. So new business targeted returns are in the neighborhood of 12% and over the last three, four years we’ve exceeded that by a fairly significant margin.
Greg Peters: Thank you for those answers. If I could continue further switch gears over to the workers compensation business, I believe Carl in your comments you implied that there are rate decreases in the environment in other states other than Florida and I was wondering if you could provide us some perspective on how we should think about the impact of these rate decreases as we look to 2016 projections?
Carl Lindner: There are -- I think it probably impacts our growth obviously. I think as you have rate decrease that's in Florida and California and the third quarter in California, we had about 6% price decline. I think about 3% year-to-date in 2015. I think when the media effect is presence in California will probably going to grow low single-digit this year versus the double-digit growth we've had in the past in summit 5% price decline that you know right less premium than what we projected for summit this year and probably some next year. I kind of mentioned in summit we're highly focused on predictive analytics and as rates have moved down there we tighten up our underwriting grid and our predict using our modeling more extensively and I will try to do the same thing in the other workers comp business that we write also. The good news is we have excellent margins when you look at our workers compensation business today and if maybe versus some others, we can give up a few points of margin and not still be earnings in a really good return, so I think that's from my perspective on it.
Greg Peters: Thank you for that color. If I could just close out the what the discussion on capital management, I'm sure many of your shareholders yourselves included appreciate the special dividend, but there is an ongoing discussion and argument in the institutional shareholder market of about whether you get any credit for special dividend some on institutional investors, I was hoping maybe you could weigh in with your opinion on that, and also just provide some commentary about how you balance the formula between share repurchase and dividends in terms of capital management?
Carl Lindner: There's probably not any ideal answer to that question. I think most shareholders, we usually get out a couple times after each quarter and talk to our investors and generate the feedback around special dividends is generally very positive, definitely more positive than negative comments we get. And you have to put that special dividend in the context of just intelligent overall management of excess capital. We think that we've done an excellent job of that overtime. We had and we've combined acquisition opportunities and organic growth opportunities along with a consistent double-digit increase, compounded increase and dividends along with in a special dividends in that the mix of how we look at things every year is a little bit different, based off of our opportunities to grow organically, what potential acquisitions we have on the plate. And generally come the fourth quarter, we kind of know where we're going to end up by year end. And in generally, if we think of special dividend is appropriate and we still have the capital to take advantage of the other opportunities we have, that's when we kind of focus in and make that decision around special dividends. Naturally, sure I'd love to have been a tight market where we can grow the business 20% and take advantage of that, but the reality right now is it's a very competitive market where I think we've been effective at picking places to grow organically where rates are adequate and provide attractive returns. And I think we've been good at picking out appropriate acquisition opportunities like summit and number the other start up businesses that we've been engaged in some. I hope that answers your question.
Greg Peters: It does, and thank you for answering all questions I had.
Operator: Thank you and it does conclude our question-and-answer period for today. I would like to hand the conference back over to Ms. Weidner for nay closing remarks.
Diane Weidner: Thank you and thank you all for joining us this morning as we reviewed our third quarter results, we look forward to talking to you all again if we look at next quarter. Have a good day.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program and you may all disconnect. Have a great rest of your day.